Operator: Good morning. Welcome to Service Properties Trust's Fourth Quarter 2020 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded.  
 At this time, for opening remarks and introductions, I would like to turn the call over to the Director of Investor Relations, Kristin Brown. Please go ahead. 
Kristin Brown: Good morning. Joining me on today's call are John Murray, President; Brian Donley, Chief Financial Officer; and Todd Hargreaves, Chief Investment Officer. Today's call includes a presentation by management, followed by a question-and-answer session with analysts. Please note that the recording, retransmission and transcription of today's conference call is prohibited without the prior written consent of SVC. 
 I would like to point out that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on SVC's present beliefs and expectations as of today, March 1, 2021. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call other than through filings with the Securities and Exchange Commission, or SEC.
 In addition, this call may contain non-GAAP financial measures, including normalized funds from operations or normalized FFO and adjusted EBITDAre. Reconciliation of the normalized FFO and adjusted EBITDAre to net income as well as components to calculate AFFO are available in our supplemental package found in the Investor Relations section of the company's website. Actual results may differ materially from those projected in these forward-looking statements. Additional information concerning factors that could cause those differences is contained on our Form 10-K to be filed later today with the SEC and in our supplemental operating and financial data found on our website at www.svcreit.com. Investors are cautioned not to place undue reliance upon any forward-looking statements.
 And with that, I'll turn the call over to John. 
John Murray: Thank you, Kristin, and good morning. Our fourth quarter operating results reflect the continuing negative impact of the COVID-19 pandemic on the economy and especially on lodging and certain service retail businesses  as well as challenges specific to our SVC hotel portfolio.
 As previously disclosed, we successfully transitioned the branding and management of over 100 hotels to Sonesta during the quarter. The disruption driven by these transitions, coupled with the holiday seasonality and stricter government lockdowns, had a sharply negative impact on our hotel results in December that weighed on our overall results for the quarter. We also transitioned the branding and management of 78 Marriott hotels to Sonesta in February and expect to transition the branding and management of 10 additional hotels to Sonesta this month. 
 In January, Hyatt provided notice of its intent to terminate our management agreement effective April 8, 2021. We are currently negotiating with Hyatt. However, if we are unable to negotiate a mutually agreeable path forward, we anticipate these 22 hotels will also transition to Sonesta at that time. 
 For all of our recently transitioned hotels, we have entered short-term management agreements with Sonesta through December 31, 2021, to allow for a thorough review of the highest and best use of each hotel. As a reminder, SVC owns 34% of Sonesta and will benefit from Sonesta's growth, have greater flexibility with its Sonesta relationship to manage capital spending more closely and consider selling assets or repurposing some hotels to other uses. Also, SVC will retain more of the upside from the recovery of these hotels.
 With vaccinations ramping up, weekly COVID case numbers decreasing and lockdown starting to ease in many states, we believe the worst of the pandemic is behind us. While we expect additional disruption to our results from hotels transitioned to Sonesta during the first half of 2021, we are encouraged by recent booking activities. Group booking trends during the last week of January were the highest since last March with most strength coming from smaller group meetings of 11 to 50 people. 
 We expect leisure and travel drive-to locations will see recovery begin this summer. Business transient demand increases are likely to be more gradual, not making a material contribution until 2022 and thereafter. We also believe some of the new normals as we emerge from the pandemic will be a greater focus on safety, service and the travel experience. It's likely that video conferencing technologies people and businesses have utilized during the pandemic will have a longer-lasting negative impact on business travel, which we believe will translate to less impact in value from the major brands' guest rewards programs, which we believe may benefit Sonesta on a relative basis.
 Our suburban extended stay hotels continue to outperform our urban full-service hotels, a trend we have seen throughout the pandemic. SVC extended stay hotels continue to have a roughly 30 percentage point occupancy premium to nonextended stay hotels, with 165 extended stay hotels reporting occupancies of 56% during the quarter compared with occupancies of 33.4% and 23.5%, respectively, for our 95 select-service and 50 full-service hotels. 
 We expect our diverse portfolio of suburban extended stay hotels will continue to outperform our urban full-service hotels until business travel begins to recover. Importantly, our approximate 41% weighting of rooms in extended stay hotels has positioned us well and has helped us mitigate cash rates. In the seasonally weak fourth quarter, average occupancy for our comparable hotels was 40.4% compared with 44.3% in the third quarter. Average daily rate was $86.84 compared to $90.74 in the third quarter, and RevPAR was $35.08 compared to $40.20 in the third quarter.
 Turning to our net lease assets. TravelCenters of America, which represents about 27% of our total portfolio based on investment, has continued to operate throughout the pandemic to support the U.S. supply chain. Although negatively impacted by the closure of its full-service restaurants and the decline in the sale of gasoline to passenger vehicles, TA's primary service to the trucking industry, including diesel fuel sales, quick-service restaurant offerings and truck repair services, have shown resiliency and enabled it to navigate the pandemic better than most of our tenants. TA is current on their rent obligations to us. Property level coverage at our TA locations was 1.83x this quarter. 
 Rent collections for our net lease portfolio, including TA, were 95.3% during the fourth quarter. And our service retail asset management team continues to work with our net lease tenants affected by opening and occupancy restrictions. Requests for deferrals have slowed significantly except for certain tenants in the hardest hit industries like movie theaters, whose reopening prospects have changed. Todd will discuss this in more detail.
 While continued weakness in our hotel portfolio will weigh on our financial results, especially in the first half of 2021, we believe we are worse -- we have passed the worst of the COVID crisis. We have taken many important steps over the past year to preserve capital and solidify our liquidity, including drawing down the remainder of our revolving credit facility in January, addressing our 2021 debt maturities, reducing our quarterly dividend, deferring nonessential capital spending and completing select hotel sales. 
 Supported by steady cash flow from TA and our retail net lease portfolio, we are well capitalized with ample liquidity and well positioned with a diverse portfolio of assets to successfully navigate the gradual recovery for the hotel portfolio. 2020 brought us great challenges, but we believe we have proactively seized opportunities to set the stage for improved future performance. While we are not out of the pandemic woods yet, we are confident about our future growth prospects.
 With that, I'll turn it over to Todd to discuss our net lease portfolio in further detail as well as our recent transaction activity. 
Todd Hargreaves: Thanks, John. As of December 31, 2020, we own 799 net lease service-oriented retail properties, including our travel centers, with 13.5 million square feet requiring annual minimum rents of $369.6 million. Representing 42.6% of our overall portfolio based on investment, our net lease assets were 98.7% leased by 177 tenants with a weighted average lease term of 10.9 years and operating under 127 brands in 22 distinct industries at quarter end.
 The aggregate coverage of our net lease portfolio's minimum rents was 2.14x on a trailing 12-month basis as of December 31, 2020. Rent collections from our retail net lease tenants were stable at 95.3% for the fourth quarter, up from a low of 80.5% for April 2020 and anchored by our largest tenant, TravelCenters of America, which represents 27.3% of our portfolio based on investment. 
 We collected 89.3% of January rents from our tenants, a decline from previous months due to COVID-related temporary closures and capacity restrictions to some of our more geographically and industry-specific impacted tenants, including a casual dining operator in Southern California, a fitness center operator in the Pacific Northwest and some of our movie theaters, an industry which represents 46% of uncollected January rent.
 We continue to work with our tenants through lease modification and deferral arrangements, and preliminary rent collections in February improved to 93%, more in line with Q4 2020 figures. To date, we have entered into rent deferral agreements with 46 net lease retail tenants with leases requiring an aggregate of $46.4 million. We have deferred an aggregate of $12.1 million of rent from our net lease tenants net of previous deferrals granted and reclassified due to lease modifications or extensions. Monthly collections of previously deferred rents have averaged 82% in September.
 During the fourth quarter, we recorded reserves for uncollectible revenues of $4.5 million for certain of our net lease tenants. $2.2 million of these reserves related to movie theater leases. As a reminder, we recognize all changes in the collectability assessment for an operating lease as an adjustment to rental income.
 Turning to leasing activity during the fourth quarter. We entered lease renewals for an aggregate of 349,000 rentable square feet at average rents weighted by rentable square feet that were 39.9% below prior rents for the same space. The renewal activity primarily reflects the restructuring of 5 movie theater leases totaling 280,000 square feet, in which the fixed rents will eventually convert to rents based on a percentage of revenues generated in exchange for a longer lease term.
 The weighted average lease term for renewables was 6.1 years and leasing concessions and capital commitments were approximately $200,000 or $0.08 per square foot per lease year. We also entered into new leases for an aggregate of 50,000 rentable square feet at weighted average rents that were 55.7% below prior rents that were previously above market for the same space. The weighted average lease term for these leases was 10.3 years and leasing concessions and capital commitments were approximately $1 million or $1.86 per square foot per lease year.  
 Turning to our recent transaction activity. During the quarter ended December 31, 2020, we sold 18 hotels, including 8 Marriott branded hotels and 10 Wyndham branded hotels, with 2,046 rooms for an aggregate sales price of $85.8 million, the proceeds of which were used to repay outstanding debt amounts. We are also under agreement to sell 5 hotels with 430 rooms for an aggregate sales price of $22.3 million.
 SVC is currently leasing these hotels to the potential buyer at an 8% annual return on the purchase price, and we expect the sales to be completed in the second quarter of 2021. The management of 9 former Marriott hotels that were previously targeted for sale was transitioned to Sonesta in mid-December.
 During the quarter, we terminated an agreement to sell 16 Marriott branded hotels with 2,155 rooms for a sales price of $107.8 million due to the buyer's inability to secure financing. We had previously agreed with Marriott to sell these hotels encumbered by the Marriott brand and the properties will remain Marriott branded, at least until which time the termination of the SVC-Marriott agreement is final. 
 As we've stated previously, the hotels we have sold or are under contract to sell are at prices close to pre-pandemic values. We continue to evaluate our hotel portfolio, specifically the hotels recently transitioned or scheduled to be transitioned to Sonesta to determine when any should be considered for an alternate use or disposition. For the industry overall, we expect to see hospitality investment sales activity pick up starting in the second half of 2021, driven by improving hotel fundamentals as well as the increasing availability of capital, both debt and equity; and are optimistic that similar to our recent sales, any hotels we bring to market will transact at or near pre-pandemic pricing.  
 I will now turn the call over to Brian. 
Brian Donley: Thanks, Todd. Starting with our consolidated financial results for the fourth quarter 2020, normalized FFO was negative $22.5 million or a loss of $0.14 per share and adjusted EBITDAre was $64.9 million. Our hotel portfolio generated negative $26.1 million of adjusted hotel EBITDA for the fourth quarter of 2020 compared to $106 million of hotel EBITDA in the prior year quarter and compared to being close to breakeven in the third quarter of 2020.
 For the month of October 2020, our hotel portfolio was cash flow positive, albeit just slightly breakeven -- above breakeven. The months of November, December produced steady declines in occupancy, which we believe are due to a resurgence in COVID cases, normal seasonality and specific to the month of December, our rebranding of over 100 hotels.
 Rental income from our leased properties declined [ $16.2 ] million year-over-year. $8.3 million of this decline relates to our net lease disposition activity, $4.5 million relates to reserves for uncollectable rents, primarily related to movie theater leases; and $2 million related to IHG, the follow-up of our previously leased hotel in San Juan.
 A $17.7 million decline in FF&E reserve income and a $9.4 million increase in interest expense were partially offset by a $4.7 million decline in G&A expense due to lower business management fees due to RMR also impacted our overall results this quarter. For our 302 comparable hotels this quarter, RevPAR decreased 59.2%, gross operating profit margin percentage decreased by 28 percentage points to 7.5% and gross operating profit decreased by approximately $145 million over the prior year period. 
 Although the GOP line costs at our comparable hotels declined $9.7 million from the prior year, FF&E reserves, management fees, system and other costs that are tied to hotel revenues declined $21.2 million.  These expense savings were partially offset by a $12.2 million increase in onetime costs, including expenses for the rebranding of certain hotels to Sonesta during the quarter. 
 Our consolidated portfolio of 310 hotels generated operating losses of $45 million for the quarter. $38 million or 84% of these operating losses were generated by our 50 full-service hotels. Full-service urban hotels in key markets where lodging activity is the most depressed, such as San Francisco, Chicago, Boston and D.C. to name a few, continue to weigh on the portfolio. $4 million of hotel operating losses were from our 95 select service hotels. 
 Our 165 extended stay hotels continue to perform relatively well and were slightly below breakeven this quarter, generating a small operating loss of $2 million; and were negatively impacted by the rebranding of 81 extended stay hotels in December.  Excluding $15.1 million of rebranding costs and a $4 million legal contingency for certain hotels, adjusted hotel EBITDA for the 2020 fourth quarter was a negative $26.1 million.  
 Turning to our balance sheet liquidity. As of quarter end, debt was 51.8% of total gross assets, and we had $91.5 million of cash, including $18.1 million of cash escrowed primarily for future improvements to our hotels. Our overall cash burn in Q4 averaged approximately $10 million per month based on our adjusted hotel EBITDA for the fourth quarter and pro forma for the full drawdown of our revolving credit facility. 
 We currently expect our cash burn to be similar in the first quarter of 2021 relative to Q4, given the continued weakness in the hotel industry, the impact of seasonality and additional disruption from a significant number of additional hotels being rebranded. However, our solid base of triple net lease assets largely covers our corporate overhead, including debt service costs.
 Based on our current outlook and expectation that lodging activity will improve in the back half of 2021, we currently expect to be cash flow positive for the full year 2021 before any capital expenditures. We funded $32.4 million of capital improvements during the fourth quarter, primarily for maintenance capital and ongoing renovations at certain Marriott and Sonesta hotels as well as for rebranding certain IHG hotels in December.
 For the full year, SVC completed 18 hotel renovations
 [Technical Difficulty] 
Operator: Pardon me, it appears the speaker line has disconnected. We'll try and get them back on the line momentarily. Please hold on and thank you for your patience. 
 Okay. Thank you, everybody. The presenters have reconnected. Please go ahead. 
Brian Donley: Thank you. As of today, we have approximately $950 million of cash after fully drawing down our $1 billion credit facility as a precautionary measure to preserve our liquidity. As previously disclosed, we expect to be out of compliance with one of the financial covenants under our debt agreements that will prohibit us from incurring additional debt until we are back in compliance, which we currently don't expect to occur until the first half of 2022. 
 As a reminder, we secured waivers of all the existing financial covenants under our credit agreement through July 2022, but are still subject to the covenants under our bond indentures. Regarding our common dividend, we currently expect to maintain the current quarterly distribution rate of $0.01 per share through mid-2022, which we agreed to as a provision of our amended credit agreement. 
 We currently believe we have adequate liquidity through 2022. Our next debt maturity is in August of 2022, and we will continue to assess and explore all of our options to ensure we are well positioned until this pandemic is behind us.
 Operator, that concludes our prepared remarks. We're ready to open up the line for questions. 
Operator: [Operator Instructions] Our first question comes from Bryan Maher with B. Riley Securities. 
Bryan Maher: A couple of questions. When you look back at the fourth quarter and the lodging results specifically, what was the bigger source of pain? Was it the conversion of the hotels to the Sonesta brand or was it the full-service urban hotels? And are you seeing any signs of positivity as you look to 2021 on the full-service urban? 
John Murray: Bryan, that's a good question. I mean the fourth quarter, there was definitely a significant impact from the transitioning of 100 hotels. We continue to see weakness. We still have a couple of full-service hotels that are closed. We are not seeing a big pickup yet in business travel. So the urban full-service hotels have had pretty weak occupancy levels. We did see after the Thanksgiving holiday and into the year-end holidays that a number of states and cities increased their restrictions and reduced the amount of occupancy that various businesses could have.  So there were a lot of negative factors all coming together for what is always a weak quarter anyway. 
 So as we look forward, we are seeing measurable, solid improvement in the hotel portfolio, both at the extended stay, select-service and full-service hotels. But it's most anemic for the full-service hotels because business travel still hasn't recovered as we've headed into the first quarter, and those are mostly urban locations. So we don't expect to see our full-service hotels experience material improvement until the back half of 2021 and really into 2022 and 2023. 
Bryan Maher: Okay. And as you transition these hotels to the Sonesta brand, now that you have kind of a lot of them under your belt converted, what has typically been the conversion cost, whether it's signage or other costs that you have, to make them Sonesta's from the Marriott's and InterCon's? 
Brian Donley: Bryan, I'll take this one. It's Brian. So we had about $15 million of expenses run through the hotel ledgers for the quarter and a big portion of that relates to putting people out in the field for IT conversions and getting those systems set up as well as procuring supplies with the brand name audit and whatnot. The capital side of it will relate to permanent signage on the buildings and around the property and inside the hotel as well as the hardware for the technology side. So in the past, we've talked to people about roughly $300,000 per hotel. Half of that will run through the P&L and the rest of it will be capital. 
Bryan Maher: Okay. And then after drawing down the $950-or-whatever million that you have now sitting in cash, I get it that you have things you need to worry about over the next year. But what would it take for you to see, whether it's sometime during 2021 or maybe early 2022, to start to return some of that cash and pay down the facility? 
Brian Donley: Yes. We're not prepared to pay down the facility until our covenant issues are behind us. So I mean I think we're looking at 2022 at the earliest. 
Operator: The next question is from Tyler Batory with Janney Capital Markets. 
Tyler Batory: I wanted to circle back to the Sonesta transition real quick, if I could. I know it's so early, but obviously, some disruption making those transitions, which is as expected. Any sense for the properties you converted in December, how much disruption there was in January, February relative to December? And any thoughts in terms of how long it might take for operations to return to normal, so to speak, at some of the properties that have already been transitioned? 
John Murray: Yes. It's a good question. It's a little bit difficult to get a specific measurement on that because of the separate COVID impacts and seasonality impacts. But I would say, on average, looking at our numbers, it seemed like there is -- prior to the transition, the outgoing brand shuts down their reservation system for dates past the conversion date. They -- you can't get a new GDS code for reservations for the new brand until the transition occurs because the same hotel can't be on the reservation system as 2 different numbers. So there's some technical complications to the transition process that result in occupancies dropping immediately after the transition. 
 And it looks like RevPAR drops maybe around 1/4 to 1/3 from where it was pre-conversion and then it makes up about half of that in the following months. And it looks like we're trending to be within 3 months of the transition to be back where we were pretransition. So it's about a quarter of disruption. 
Tyler Batory: Okay. That's helpful. And just to follow up strategically on asset sales on the hotel side of things. I'm interested more broadly that maybe the extended stay properties and certainly some of what you've transitioned to Sonesta, a number of those -- or all of those, I should say, have short-term contracts. So just interested what sort of factors you're looking at in terms of potential asset sales. And is it simply a price discussion what maybe could result in you getting more aggressive in terms of selling some assets in the portfolio? Just interested in what sort of factors you're considering there. 
John Murray: There's a variety of factors that we're considering. One of those factors is the extent of capital needs. Another, obviously, is the projected performance. Another is the market concentrations. We had some markets where we had a couple of Sonesta hotels, a couple of Marriott extended stay hotels, a couple of IHG extended stay hotels. Now if they are all Sonesta extended stay hotels, that may be too many in any given market. So I'd say those are the primary factors we're considering. 
 I should add, we're also considering what other uses. In some markets, there's a shortage of affordable housing, and there may be attractive conversion opportunities to move from a hotel to a multifamily use. And so in select markets, we're evaluating that as well. 
Tyler Batory: Okay. Okay. And then just last question for me. Brian, on the CapEx side of things, can you just remind us the spend in the fourth quarter and the split between maintenance versus renovation/rebranding? And then any commentary in terms of the future outlook for those items in 2021 would be helpful, too. 
Brian Donley: Sure. So about half of that number in Q4, I would say, was maintenance CapEx. We had some renovations we were finishing up with some of those costs spilled over. And I would say about $5 million to $10 million approximately was related to the conversion costs. A lot of those numbers will spill over into 2021. Yes, so I had put out a number in the prepared remarks for 2021 of approximately $192 million for the spend. I would say about $110 million of that is related to maintenance CapEx and the conversion costs with the remainder I would describe as discretionary related to renovation activities. We've got several large projects going on in Kauai as well as Chicago and some in California as well. But again, the maintenance piece of it is roughly $75 million to $80 million. 
Operator: The next question is from Dori Kesten with Wells Fargo. 
Dori Kesten: Can you tell us what the RevPAR index of the Sonesta brand was pre-conversion? 
John Murray: Sorry, Dori, could you say that again? 
Dori Kesten: The RevPAR index of the Sonesta brand pre-conversion. So before all the InterCon and Marriotts came into it. 
John Murray: Yes. I don't have that handy. Do you? 
Brian Donley: Dori, we don't have the index numbers handy. We can follow up on that one. 
Dori Kesten: Okay. And as you look through the hotels that you're -- that converted to Sonesta, do you have an internal asset sale goal for the year? And you mentioned that pricing would be pretty comparable to pre-pandemic levels. Is that, I guess -- in an aggregate, is that kind of in the 10x multiple range on 2019 numbers? 
John Murray: Yes. So we don't have a specific target that we're shooting for in terms of asset sales. And not every -- there may be hotels that don't get sold, but that get removed from the hotel base and get transitioned to other uses, as I mentioned, perhaps multifamily or other uses like that. But yes, I think the cap rates on select-service hotels that we sold during the year, we did better -- a little bit better than where the broker opinions of value were, those broker opinions of value that were done during the middle of 2019, and they reflect a -- the fact that the hotels needed capital. So taking into account the PIPs, the cap rates were around 10%. 
Dori Kesten: Okay. And Brian, since we may not have a great look through on taxable income when it comes to 2022, is there a decent way do you think to get back into what a potential dividend payout could be, perhaps as simple as a percentage of FFO per share? 
Brian Donley: Yes. I think the way to look at it with the hotel losses that we've been building up, we probably won't have any taxable distribution requirement in the foreseeable future. When you compare it in the way we used to report coverage, if we're not over 1x and the hotels aren't making the returns, we're running taxable losses, is the way I look at it from a simplistic standpoint. Obviously, there's more tax nuances than that, but that's sort of the benchmark. If we're not earning sort of the full returns under our hotel contracts, there are taxable losses being incurred, generally speaking. 
Dori Kesten: Okay. So looking out to '22, you may not be paying [ then ] based on that? 
Brian Donley: It's possible. It's really too early to tell for '22. But '21, I feel comfortable saying that. 
Operator: [Operator Instructions] The next question is from Jim Sullivan with BTIG. 
James Sullivan: First question is on the CapEx. I know under the covenant waiver agreement, as you outlined in the release, and you've advised before, you have -- you can spend up to $250 million annually CapEx. And then it refers to an up to $50 million for certain other investments per year as defined in the agreement. Can you just remind us what other investments kind of qualify for that $50 million spend? 
Brian Donley: Jim, this is Brian. I'll take that one. Thanks for the question. Yes, we have various opportunities that come up every so often relating to the property surrounding our current properties that could help the operation or another example would be, if we have a ground leased property, we could buy out the ground lessor, so anything that really adds value to our existing portfolio. That carve-out really, not meant for new acquisitions. It's really just value-enhancing ancillary-type transactions for the existing portfolio. 
James Sullivan: Okay. And then in talking about the strategy, and I think, John, you touched on this in your prepared comments, the initial agreements with Sonesta are short term while the company considers what to do with the assets, ultimately, whether to convert them or sell them or what have you. And I just wonder if you can help us anticipate after that 1-year term and after you've gone through the portfolio and decided what to keep and presumably to continue to have managed by Sonesta. Can you just give us some indication as to whether it would be contemplated at that time that the agreement with Sonesta would be long term in line with kind of the agreements you previously had with Marriott and InterContinental? Or whether they would continue to have more flexibility than the prior agreements that were in place? 
John Murray: Yes. Jim, that's a good question. Our expectation is that around the end of this year, once we've -- sort of the dust has settled and we've decided what we're going to do with each of the hotels that the hotels that are going to remain within the Sonesta portfolio will be added to the long-term contracts similar to the Sonesta portfolio management agreement that existed before these transitions started. So it would be a long-term management agreement. 
James Sullivan: Okay. And would the -- would it have -- would those agreements have any additional flexibility versus the contracts that Marriott -- that you had with Marriott and InterContinental? Or would they otherwise be pretty similar? And what I'm thinking of is, and particularly given that the Sonesta brand is virtually an unproven brand, would there be the opportunity to -- for Service to cancel the contract in the event of nonperformance with the budget or what have you or underperforming versus an index or some other way to cancel the agreement for Service? 
John Murray: Yes. There is -- I didn't study the terms of the existing agreement before the call. I apologize. There are provisions if there are -- if there is poor performance, there are termination rights. And so there is some flexibility there. There's also the flexibility of Sonesta is an affiliate. And so I think by virtue of that, we have a little bit more flexibility in terms of the ability to work more collaboratively with them on whether we invest capital and what amounts get invested and whether we make decisions about individual hotels. 
 And if they're not performing, whether we should be not just evaluating this year, what the highest and best use is, but on a regular basis, looking at the portfolio to see if we should be pruning weaker-performing hotels. And I think we have greater flexibility to do that just because we're affiliates than we would if we were in a situation between us and a Marriott or an IHG, for instance. 
James Sullivan: Okay. And then, John, again, you touched on the business travel exposure of the major brands and how that has impacted performance post-COVID. Early days, I know, with the Sonesta brand, but can you give us any indication as to Sonesta's mix of business and how it contrasts with, say, Marriott or IHG? 
John Murray: I think that across the board, what we've been seeing is leisure travel has been the driver regardless of the brand. During the pandemic, there's been a large amount of contract business from groups ranging from visiting nurse associations to people trying to quarantine, to National Guard, different groups that have been deployed to help in different locations as there have been surges and the like. So there's been a fair amount of that type of business that's been sort of COVID related in one way or another. 
 And again, I think that we've seen that fairly consistent across the brands, possibly a little bit stronger for Sonesta because of their weighting towards extended stay hotels. Their mix of -- the legacy extended stay hotels within the Sonesta portfolio were weighted towards older campus style developments. And those were largely perceived as more safe than the more recent vintage of extended stay hotels that are in a single building because you could go directly to your room without even needing to go through a lobby or up a staircase or through an elevator. You could just go directly to your building. So Sonesta picked up market share during the pandemic, but that's the type of business it was. It was either pandemic related or leisure, very little business travel. 
James Sullivan: Okay. And then finally for me. Given that Service has a significant equity interest in Sonesta, and as the Sonesta brand becomes a much bigger business on its own right with the continued transition to the brand this quarter and perhaps later in the year, I wonder what you can tell us about the outlook for Sonesta in terms of profit or loss. Some indication, very broad brush, obviously, and it's very early days, I understand, but when would one anticipate that Sonesta could possibly breakeven or make the profit? 
John Murray: Yes. I think Sonesta is growing -- has grown and is growing quite rapidly. And I expect that there'll be cost and growing pains that they experience -- that they have experienced in the fourth quarter and will experience in the first half of 2021. But with pickup in leisure travel in the second and third quarters, and hopefully, the pickup in business travel as we get later in the year, we do expect currently that Sonesta may be slightly positive in net income for 2021. 
 They are also awaiting the results of a shareholder vote that Sonesta has -- had signed a merger agreement with Red Lion Hotels that would get them into the franchising business. And I think that the combination of all these activities, Sonesta will be 1 of the 10 largest hotel operators and franchisors in the United States. And I think that, that franchise growth will also -- initially, it won't be a big contribution, but it will be a contribution, and we expect that, that will grow for Sonesta over time. And so we are expecting profitability going forward. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Murray for any closing remarks. 
John Murray: Thank you, everyone, for joining us today. We appreciate your interest. Thanks. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.